Executives: Peter W. Hutton - Senior Vice President-Investor Relations Hans Jakob Hegge - Executive Vice President and CFO Ørjan Kvelvane - Senior Vice President, Accounting and Financial Compliance Svein Skeie - SVP Performance Management, Portfolio and Risk
Analysts: Haythem M. Rashed - Morgan Stanley & Co. International Plc Mehdi Ennebati - SG Securities (Paris) SAS Michael J. Alsford - Citigroup Global Markets Ltd. Halvor Strand Nygård - Skandinaviska Enskilda Banken AB (Norway) Tom M. Robinson - Deutsche Bank AG (Broker UK) Anne Gjøen - Svenska Handelsbanken AB (Norway) Brendan Warn - BMO Capital Markets Ltd. Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP Oswald Clint - Sanford C. Bernstein Ltd. Teodor Sveen Nilsen - Swedbank AB (Norway) Rob West - Redburn (Europe) Ltd. Biraj Borkhataria - RBC Europe Ltd. (Broker) Jon Rigby - UBS Ltd. (Broker) Anders Torgrim Holte - Danske Bank A/S (Sweden) Joshua E. Stone - Barclays Capital Securities Ltd. Hamish Clegg - Bank of America Merrill Lynch Nitin Sharma - JPMorgan Securities Plc
Peter W. Hutton - Senior Vice President-Investor Relations: The format of the call will be that Statoil CFO Hans Jakob Hegge, will run through the results and key drivers, and then we will open for questions-and-answers I am also joined by Svein Skeie, Head of Performance Management and Risk, and Ørjan Kvelvane, Head of Accounting. We aim for the call to run for around an hour today, and expect to be able to cover all your questions in this time. The operator will explain the procedure again after the presentation in a second. And with this, I turn the floor over to Hans Jakob to run through the results.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Peter. And welcome to everyone to the second quarter analyst conference. Statoil presented adjusted earnings before tax of $913 million for the second quarter of 2016. The second quarter was characterized by the following. First, the results this quarter continued to be impacted by the volatile oil prices as well as a week NGL prices in North America and the low European gas prices compared to a year ago. Fundamental market conditions are unchanged, but we do see signs that we may be heading towards a more balanced supply/demand picture for oil. Despite this, we must expect to see volatility for some time. In the short-term, we expect continued pressure on European natural gas prices. Second, we keep on delivering strong operational performance. Our high production regularity continues, especially from our Norwegian fields, and we are ramping up production from new fields. This contributed to a production growth of 5%. And third, we see continued gains from our improvement efforts. Adjusted OpEx and SG&A for the group were 18% lower, compared to the same quarter last year. And we are lowering our guidance for CapEx in 2016 from $13 billion to around $12 billion, reflecting further improvements in efficiency and prioritization. We are also lowering our guidance for the exploration spending by 10%, recognizing the efficiencies especially in drilling and well. But at the same time, capturing opportunities to increase activities in certain areas and to benefit from improved costs. And finally, the board of directors has approved a second quarter dividend of $0.2201 per share, and there will be a scrip option with a 5% discount for the second quarter. The first scrip dividend offering yielded a 43% take up by the shareholders, resulting in $290 million, improved cash flow in the quarter. We report on IFRS net operating income in the quarter of $180 million. This is before adjustments of $733 million, mainly related to an impairment of our Gulf of Mexico assets and the mark-to-market valuation effect of derivatives in the MMP segment. Adjusted earnings before tax was $913 million compared to $2.9 billion in the second quarter of 2015. The liquids prices that we realized was 28% lower, and natural gas prices in Europe were 32% lower compared to the same period last year. The adjusted result after tax was a loss of $28 million, reflecting a tax rate just above 100%. The high tax rate was a result of the earnings composition. I will now move from the group results to comment on the various segments. Development and Production Norway had a second quarter pre-tax result of US$1.2 billion compared to $2.3 billion in the same quarter last year. The lower result was a consequence of the low liquids and gas prices in the quarter. Realized liquids prices fell 27% compared to the same quarter last year, and the gas transfer price dropped by 42%. The gas transfer price is a function of the various price indices, and this quarter there was a sharp drop in the season-ahead price compared to first quarter prices. Production grew 5% in the quarter. This together with cost reductions and further efficiency gains partly offset the effect of the low prices. Natural decline was more than offset by the ramp-up of new fields, including Valemon, Goliat, Edvard Grieg and an increase in Statoil production from Ormen Lange after the makeup period post redetermination. As we noted after the first quarter results, this quarter was impacted by higher costs from planned maintenance compared to the first quarter 2016 and second quarter 2015. Nonetheless adjusted OpEx and SG&A expenses year-on-year reduced by 11% per barrel. And the adjusted DD&A was reduced by 10% per barrel measured in the underlying currency NOK. You should expect seasonal cost also in the third quarter reflecting increased planned maintenance activity. Development and Production International had an adjusted pre-tax loss of $506 million compared to a loss of $16 million in the same quarter last year. Realized liquids prices were 30% lower than in 2015 and this was partly offset by higher production, up 4% adjusted for divestments. And we continue to see significant improvements in our cost base with OpEx SG&A costs down 23% per barrel. This was a result of the effects of cost and efficiency measures, lower diluent expenses and royalty, partly offset by costs associated with new fields on stream and higher transportation costs. DD&A increased 1% per barrel due to new fields on-stream and ramp-ups. The MMP adjusted result was $329 million compared with a very good result in the same quarter 2015 or $679 million. The lower result was largely due to lower refinery margins and availability, due to planned maintenance at Kalundborg and Tjeldbergodden. Mongstad will have a planned maintenance stop during the third quarter this year. Equity production was production was 1,959 million barrels in the second quarter. This was an increase of 5% compared to same period last year. Underlying organic increase was 6%. The growth was largely a result of higher gas production from fields with associated gas, high production regularity, as well as resumption of equity volumes on Ormen Lange following the redetermination makeup period. In addition, we see ramp-up of production from new and existing fields, including Valemon and Goliat on the NCS, Corrib in Ireland, as well as Julia and Heidelberg in the Gulf of Mexico. Divestment of Shah Deniz and reduced ownership in Gudrun as well as expected decline in mature fields offset part of the increase. Cash flow from operations pre-tax was $6.4 billion for the first six months of this year, compared to $11.2 billion in the same period last year. We paid two tax installments of NOK 6 billion each on the Norwegian Continental shelf in the second quarter. From the second half, we will pay taxes based on 2016 results. The installments for the next fee payments will each be NOK 5 billion based on expected lower prices for 2016. Dividend paid reflects the dividend for third quarter 2015, which was paid fully in cash and the cash part for the fourth quarter dividend. With cash investments of $6.1 billion for the first six months, this results in a negative cash flow of $3.2 billion. Net debt to capital employed ended up 31.2%, impacted by negative cash flow, offsetting for dividend and currency. A few comments on guiding before I leave the word to Peter to lead us through the Q&A session. We maintain the production guiding, and we expect an organic production growth of 1% from 2014 to 2017. We reduced organic CapEx guiding for 2016 from US$13 billion to around US$12 billion, mainly due to the impact of the efficiency efforts and our continued strict prioritization. We estimate the exploration spend to be around $1.8 billion, down from $2 billion previously guided. The reduction is a result of efficiency as we plan to drill the same amount of wells as originally planned. Thank you. And over to you Peter.
Peter W. Hutton - Senior Vice President-Investor Relations: Thanks, Hans Jakob. And with that, we will open for Q&A. We have some questions on the line already, and I pass over through to the operator to run you through those procedures again. Thank you.
Operator: Thank you, sir. We will now take our first question from Haythem Rashed from Morgan Stanley. Please go ahead. Your line is open.
Haythem M. Rashed - Morgan Stanley & Co. International Plc: Thank you. Good afternoon gentlemen. Thanks for the presentation. Hans Jakob, if I could just briefly cover two topics. Firstly, it seems for the quarter price realizations were somewhat of an issue, particularly when you look at the gas side in Europe and then in the international business on the liquids side. I just wonder if you could just talk a little bit about how transitory you felt that that was or whether there is some change in sort of the Statoil business that means that some of these might linger for a period of time going forward? Second question is really regarding your CapEx and the $13 billion going to $12 billion, clearly demonstrating the flexibility you have in moving CapEx lower with the efforts you are putting in. I just wanted to get a sense of, firstly, the scope of that coming down further this year because we obviously had last year where you brought it down on more than one occasion, and whether you felt that that was possible from what you are seeing at the moment in terms of the operations and the efforts that are going on to increase efficiency? But also, just from a longer term perspective, you highlight today that the CapEx is lower but production guidance is unchanged. Is there anything you can say about what you think medium-term for Statoil the right level of CapEx is. Do you think $12 billion is a number that you can continue to spend – continues to allow you to grow at a reasonable rate and deliver on future projects, or at some point does that number need to go back up again to a more sustainable level? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Thank you, Haythem. First on the gas price and unrealized prices: as you know this is the way we sell our gas. If you look at the gas, the price markers used in internal price is reflecting Statoil's average sales structure over a period of time. That includes a mix of short and longer term indices. So the main reason for the internal price decline was a sharp drop of the season ahead compared to the day ahead. Still the realized price in the second quarter was 10% higher than the NBP. So in the first quarter, we've benefited even more of this. And then to CapEx, the CapEx rate and the guiding has been taken down to $12 billion. We maintain a strong capital discipline with strict prioritization. We see efficiencies across all the portfolio. We see it in exploration. We see it in the projects on the U.S. onshore. It's a downward trend across the portfolio. We have slightly less capitalized exploration with our year-to-date capitalization rate of 31%, lowering the total spend, and the project portfolio is continuously being evaluated in this respect. When it comes to medium-term CapEx level, I think we highlight the fact that we will have capital discipline. We will invest when the projects are clear. We have the $4 billion to $6 billion in flexibility in 2018 and 2019, and that is of high value to us, so maintaining the flexibility going forward will be important.
Haythem M. Rashed - Morgan Stanley & Co. International Plc: Okay. Thank you.
Operator: Thank you. We'll now take our next question from Mehdi Ennebati from Societe Generale. Please go ahead. Your line is open.
Mehdi Ennebati - SG Securities (Paris) SAS: Hi good afternoon all, and thanks for taking my question. Two questions please very quickly. First, I would like to come back, Hans, on what you said regarding the tax payments. So you've paid roughly $2.3 billion tax in H1 2016, mainly related to 2015. I wanted to know if – or can you please confirm that we should consider a material decrease in H2 2016 tax payments given it will be related to full year 2016 earnings, which are much lower than last year, if I understood, where you said that, the payment should be around NOK 5 billion in Q3, just wanted to know if you can confirm this. Maybe the line was not that good. And second question, regarding to the working capital, so your working capital increased materially in H1 2016 versus $700 million, and I wanted to know what should we expect in H2 2016 some reversal or let's say at least kind of stabilized working capital which will not negatively impact your free cash flow? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Thank you, Mehdi. On the tax payment, it is a high tax rate, actually the first time above 100%, we said that tax rate is negatively impacted by the loss in the international business in areas with limited tax production, and going forward we will benefit from this when we start earning money for instance in the U.S. where we do not pay taxes. We have a low tax rate on the adjusted earnings from DPN that is mainly due to the higher effect of the uplift deduction due to the low adjusted earnings. We see a high tax rate on the adjusted earnings in the MMP segment, that is caused by earnings composition. And in terms of guiding going forward in general lower prices increased tax rate, over time a falling tax rate should be expected when prices recover and $700 million lower unpaid in the first half if we take the actual average. So that was on tax. When it comes to working capital, I leave the question to Ørjan Kvelvane.
Mehdi Ennebati - SG Securities (Paris) SAS: Yeah.
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Thank you.
Ørjan Kvelvane - Senior Vice President, Accounting and Financial Compliance: I'm not sure if I followed your numbers, but from a working capital perspective we have kind of a significant reduction compared to kind of the end of same period last year, and that is of course due to prices. When it comes to the working capital compared to first quarter, we see that it's the inventory that increases and that is due to kind of higher volumes in transits, which increases that part of the working capital. So it's over the past four quarters we have a pretty stable working capital.
Mehdi Ennebati - SG Securities (Paris) SAS: And in terms of working capital deterioration impacting the cash from operations what should we expect for H2?
Hans Jakob Hegge - Executive Vice President and CFO: Svein Skeie will...
Svein Skeie - SVP Performance Management, Portfolio and Risk: Of course. It's very much depending on where the market is going as also Hans is saying is that, we are seeing that the benefits for them doing transportation of the crude's longer. So we have done for example, some cargos then towards Asia, meaning that they are longer on ship. And if those kind of market continues then that then we will have more working capital. But if those market changes and I am sure the distances that could mean that we could go down. So, it will be depending very much on the pricing structure as we are moving month-by-month going forward.
Hans Jakob Hegge - Executive Vice President and CFO: Yeah. So you should expect...
Svein Skeie - SVP Performance Management, Portfolio and Risk: ...correlation to prices going forward.
Mehdi Ennebati - SG Securities (Paris) SAS: Thank you.
Operator: Thank you. Our next question comes from Michael Alsford from Citi. Please go ahead. Your line is open.
Michael J. Alsford - Citigroup Global Markets Ltd.: Thanks for taking my questions. I've just got a couple if I could. I hope that you could update us a little bit more on the guidance you provided on Capital Markets Day, regarding cash flow breakeven, you have clearly reduced your CapEx for 2016 and I am just wondering whether we should still think about you breakeven in 2017 at $60 per barrel or do you think actually is now much lower given the cost trends and CapEx trends that you are seeing? And then more specifically on the international business, clearly loss-making and a drag-on profitability still. And I just wondered if you could provide an update as to what you are getting to in terms of your key objectives around onshore CapEx cost, OpEx cost breakeven of that business down more substantially and make that profitable at low oil prices? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Michael. First on the guidance of cash flow on the breakeven, what we said on the Capital Markets, we have no changes to the guidance, we are on track. So, what we talked about at the Capital Markets is that we could be neutral at $60 per barrel in 2017 and $50 in 2018 and that still is valid, so no changes. When it comes to the international business, we are profitable in many of the key areas. It is obviously challenging on the current prices and prices realized in the second quarter. And as you know, we are structurally more exposed to the oil price than the Norwegian business due to the historic cost and lower margin. The adjusted earnings of minus $506 million is mainly due to the low realized prices. And at the same time, I think it's fair to say that 23% reduction in OpEx SG&A is a good response to attacking the costs on the workable elements. We have a cash flow from the international operations of US$12.4 per barrel, and that is also indicating that this is a cash generating business. The total cash flow from the operations of the international business is $683 million, but still loss making at current prices.
Michael J. Alsford - Citigroup Global Markets Ltd.: Okay. Thank you for the update.
Operator: Thank you. Our next question comes from Mr. Halvor Nygård from SEB. Please go ahead. Your line is open.
Halvor Strand Nygård - Skandinaviska Enskilda Banken AB (Norway): Yes, hello. So on CapEx, you've cut your CapEx guidance by $1 billion from $13 billion to $12 billion this year. And if we look at year-to-date CapEx, it is at $5.3 billion, which implies a run rate of $10.6 billion. Would you say that it's still a headroom for further CapEx reductions or will CapEx in second half of this year increase by more than 20% that you see it now?
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Thank you, Halvor. Year-to-date, we just spent, I think it's $5.4 billion and you should expect higher activity during the year with the Sverdrup execution, starting the execution of Peregrino Phase II and a potential activity with fracking in Bakken and Eagle Ford, so the U.S. onshore operation. As we've said today, we reduced our guiding on the CapEx to around $12 billion and that's our best estimate for 2016.
Halvor Strand Nygård - Skandinaviska Enskilda Banken AB (Norway): All right. Thank you. And another question on production, your Bakken production fell 11% sequentially in Q1 and then another 14% sequentially in Q2. Well if I remember correctly, you stated at Q1, but the drop in Q1 was not representative going forward. What are your plans for activity and production U.S. onshore going forward?
Hans Jakob Hegge - Executive Vice President and CFO: We still have one operated rig in each of the place and in the second quarter our frac crew in Bakken and Eagle Ford. So Bakken production was reduced compared to the first quarter with no wells completed in the quarter. So since the first quarter prices have improved. So we are considering picking up some activity in the second half, but cost focus remains critical.
Halvor Strand Nygård - Skandinaviska Enskilda Banken AB (Norway): Okay. Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you.
Operator: Thank you. We will now take our next question from Tom Robinson from Deutsche Bank. Please go ahead.
Tom M. Robinson - Deutsche Bank AG (Broker UK): Afternoon everybody. Thanks for taking my questions. I've got two, if I may? The first one is on cash flow, could you just help bridge the operating cash flow before tax and working capital from the first quarter this year to the second quarter? I am coming at this from the angel of, if I look at the face of the cash flow statement, we've moved from roughly $3.4 billion to $3 billion in a quarter where pricing was a bit better, volumes are down marginally, and the cost base is up slightly. So is there another factor I'm missing to explain the downward direction of cash flow quarter-on-quarter? That's the first one. Second one just briefly is on CapEx, would you able to break out the $1 billion of savings in more detail, I appreciate $200 million or so is exploration, but how does the remaining $800 million split between the regions and the divisions? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: First of all, Tom, thank you for those questions. Let me start off on the cash flow and then Ørjan Kvelvane will fill in with more detail. But in general, the cash flow will vary over time with the level of volatility that we see and the basis for looking at the cash flow I think is the robust cash generation given the realized prices in the second quarter, with the strong operating momentum and a high regularity that we see, our cash flow from operations of $6.4 billion year-to-date given the significant reduction in the average liquids price is sort of the basis. And then into more detail Ørjan.
Ørjan Kvelvane - Senior Vice President, Accounting and Financial Compliance: So, I understood your question was that the second quarter towards the first quarter and you are right that the adjusted earnings are up and the cash flow quarterly is down pre-tax and working capital. And as you know, this is about kind of non-cash elements and it will also be impacted by kind of accruals and provisions that is both cash and non-cash. So this is kind of a mix bag of elements. But one example is over on the list, where we in the adjusted earnings have a negative effect in first quarter, a positive effect in second quarter, that has – that will not impact our annual adjustments in the cash flow that is based on the IFRS numbers and these are kind of the adjusted numbers. In addition, we have some financial elements that also is part of the cash flow from operation that is not part of the adjusted earnings. So, it's not easy to compare one-to-one, but this was some comments to enlighten you.
Hans Jakob Hegge - Executive Vice President and CFO: And then to the second question about CapEx and the $1 billion reduction, it is across the portfolio and the material part of it is from producing fields both, operated and partner-operated. So it's difficult to say one or two specific reasons, but if we are highlighting one, it probably should be the continuous improvement in the drilling and well with examples from the Norwegian shelf that exploration wells in 2013 was drilled in 46 days on an average, now down to 22 days. So overall, I think it's fair to say a strict prioritization, capital discipline across the group.
Tom M. Robinson - Deutsche Bank AG (Broker UK): Thank you. Thanks for the detail.
Operator: We will now take our next question from Anne Gjøen from Handelsbanken Please go ahead. Your line is open.
Anne Gjøen - Svenska Handelsbanken AB (Norway): Thank you. When it comes to the second quarter, you have commented on higher gas volumes despite lower gas flexibility. But when it comes to gas flexibility, the way the market is developing, do you consider the gas flexibility as less than before going forward? And is it possible that you also could give some more color on the way you see the development in the EU gas market into 2017? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Anne. As you know, most of the increase is from associated gas production in the quarter. The flex gas comes from Oseberg which was a bit lower than last year. So year-on-year the flex gas is lower. Going into your second question about the EU gas markets, it's obviously a very interesting one. And the way we look at it is that market is fairly well supplied in Europe at the moment. We see potential upside linked to the capping of the Groningen field. We see political willingness in relation to the climate agenda to be more in favor of gas as opposed to coal. Also be aware of the indigenous decline that we have seen. So there are many factors. But at the moment, it's well supplied. And as I said, we probably expect to see some continued pressure on the prices short-term. Longer-term we have a optimistic view on the European gas market.
Anne Gjøen - Svenska Handelsbanken AB (Norway): Thank you.
Operator: Thank you. Our next question comes from Brendan Warn from BMO Capital Markets. Please go ahead. Your line is open.
Brendan Warn - BMO Capital Markets Ltd.: Yes, thank you. Thanks for taking my question. It's Brendan Warn from BMO Capital Markets. Just first question of three. I guess first one relates to the international business, and you talked about impairments. Can you just talk through your future impairments and what we expect in the current forward curve or your current sort of impairment tests? I noticed that your DD&A has increased in the international business to loss making. Second question just in terms of the MMP business, any guidance update you can give us just in regards with the change of conditions for the back end of this year, particularly with refining margins off in gas and oil pricing? And then just last question, just in terms of your debt maturity profile, can you give us a – can you just talk about what you are looking at in terms of refinancing or payment down of your maturities certainly in the next couple of years, please?
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Thank you for those questions, Brendan. When it comes to the impairment, we only had one impairment in the quarter. That was a Gulf of Mexico asset, not operated by ourselves. That was linked to a revision of the reserve. We used the forward prices as you say, but after some quarters where we have done quite a few of these impairments, we're only down to one this quarter. Last quarter, if you probably remember, we had a reversal as well, so going forward this will be based on not only the forward prices and price assumptions, but also reserves revisions and the updating of business plans. Then to the second question, so about the MMP business. On the guiding, there are no changes. We expect to see volatility, and we are in this quarter within the range of $250 million to $500 million. And you should expect us to be within that the range going forward. When it comes to the debt profile, and we have an average of nine years and no current plans of refinancing for 2016. So we have $16 billion in cash, and the profile is so that we have $1 billion for this year increasing to $2.5 billion next year and just about $3.5 billion in 2018. So the maturity of the profile is something we are comfortable with.
Brendan Warn - BMO Capital Markets Ltd.: Okay. Appreciate it. Thank you.
Operator: Thank you. Our next question comes from Anish Kapadia from TPH. Please go ahead.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Good afternoon. Couple of questions. Firstly, I want to get an update on some of your projects and timing on potential FIDs, on the Canadian offshore given your recent update, the BM-C-33 project in Brazil, do you take over operatorship, and also Johan Castberg and Bressay? Secondly, on your U.S. assets, you've made a few disposals in terms of your Northeast gas position, and it's now largely non-operated. I was wondering if it's right to see this as a non-core position that could continue to be monetized? And then, finally, on the midstream assets you've got in the U.S., I think you revealed about $1.5 billion of book value associated with those assets. What's the EBITDA those assets generate and also the potential to monetize these? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Thank you, Anish. On the projects first, overall we are on track both on cost and schedule. Let me just mention Sverdrup Phase 1, which is into the execution phase. Then Gina topside just has sailed from Korea. We have Mariner, and we had a heavy lift today on Aasta. And Mariner and Aasta has a planned sail away scheduled for 2017. You mentioned the Canadian offshore, still being evaluated. We have done exploration campaign. We just finished a 19-month exploration campaign. And we had two discoveries, confirming the value range or volume range of 300 million barrels to 600 million barrels. BM-C-33, we hope to get the consent on being the operator of BM-C. So that's the next milestone. We have agreed on Castberg with the partners on an FPSO concept; that's the most efficient one as we see it, and we discussed the FPSO involving shuttered tankers and the concept selection, the DG2 is planned for Autumn this year and a potential FID in 2017. When it comes to Bressay, it's been postponed so we will have to revert to that on a later stage. And then on the U.S. assets, talking about -- I think we have a strong position when it comes to U.S. We are placed in the good basins. It's an good acreage. We see costs coming down. And the main focus is on efficiencies. When it comes to M&A activity, we comment more specifically on that when the deals actually have taken place.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: And on the midstream, the EBITDA from the midstream in the U.S.?
Hans Jakob Hegge - Executive Vice President and CFO: We do not go very specifically into that part. It's seen as a part of the MMP business. The guiding that I just commented on, the $250 million to $500 million, it is a part of that, and we do not go into further detail at this point.
Peter W. Hutton - Senior Vice President-Investor Relations: Just before we go into the next question, in the interest of time, can I ask all questioners to keep it to maximum of two questions each. I'll impose my normal rigorous discipline. Thank you. And if we move over to the next question please?
Operator: Thank you. Our next question comes from Oswald Clint from Bernstein. Please go ahead. Your line is open.
Oswald Clint - Sanford C. Bernstein Ltd.: Yes, thank you. Maybe a question on Johan Sverdrup, I don't think I've heard you comment on the volume increase, but that was talked about from Lundin. Maybe you could just talk about that 100,000 barrels a day increase that they are talking about? Is that something you will confirm or agree? And is that a press release type thing or is there still work being done on that initial plateau production level please? And maybe secondly on the drilling efficiency comments today, is that – so is this drilling faster? Can you talk about the days? How many days to drill a well you've brought that down to or is that actually the rate that's being paid per day? May be a little bit more color around that please would be quite interesting. Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Oswald. When it comes to Johan Sverdrup, we – as I said we're well into the execution phase. The study is done on the processing equipment. Can't confirm there is upside, but this is one of several factors impacting the production. So when it comes to where we are with the milestones, the construction start of the living quarter platform at (41:42) was at end of March, steel cut on the riser platform, topside at Samsung in Korea in June, and three production wells drilled to target that's finalized by end June, and we are working closely with the partners on the Phase II and there is a concept select plans around year end, potentially early 2017. So when it comes to adding volumes, we have nothing more to add today. Then to the drilling efficiencies, more color to that. We have a more standardized approach. Some of you might have heard about the perfect well concept that actually was developed on the U.S. onshore business, where we went through the best performance of the various parts of not planning, only planning, but execution of various wells, and we combined it into a quite rigorous assessment of the well. So it's an upfront loading of the operations before it takes place, and you have to go through a practical checklist or at least 12 points that you have to check out that you're according to the best practice. And by doing that in a rigorous way, the execution runs not only faster, but cheaper. So, on the exploration wells on the Norwegian shelf, we have been able to reduce the number of days on average from 46 to 22. So it's rigorous planning and discipline when it comes to the execution.
Oswald Clint - Sanford C. Bernstein Ltd.: Great. Thank you. Thank you.
Operator: Thank you. We will now take our next question from Teodor Nilsen from Swedbank. Please go ahead.
Teodor Sveen Nilsen - Swedbank AB (Norway): Good afternoon, and thanks for taking my question. First question is on dividend, Hans Jakob you mentioned that for the 3% elected shares for the first quarter dividend assuming that oil prices stay as below $50 per barrel, will you then consider to increases the discount on the shares to encourage a higher portion taking shares as dividend? And then my second question is on CapEx, assuming that during 2017 invest in only your sanction project and also that prices stay flat from current level, should we expect 2017 CapEx to be below or above your stated 2016 guidance? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Teodor. When it comes to dividend, we have a 42% take up on the fourth quarter 2015. So we think that we are happy with that, so we continue with 5% discount for the first quarter this year. And if the take-up continues at this level, it will contribute with a 3% to 4% on the gearing, as program ends. And that's where we are at the moment. So no change to the discount, we keep the discount for the first quarter this year. On the CapEx side, I leave the word to Svein Skeie.
Svein Skeie - SVP Performance Management, Portfolio and Risk: Thank you, Hans Jakob. When we look at where we are now, it's a US$12 billion asset, as we also say, that for the second half of this year, we expect them to have some more CapEx compared with the first half due to the fact that we are then into more execution phase on the Peregrino Phase II as well as Johan Sverdrup, but also we see that some projects are then put into production. To us as we said, we have the flexibility and we try them to on the CMU, then we gave a guidance and then hold (46:05) where we expect them to spend the CapEx going forward. Flexibility of $2 billion to $3 billion in the 2016 and 2017 and increasing further. So then, for next year, we are continuously evaluating where we are and the projects. For new projects, if we then talk about that for next year, the main part of those will then come into the late part of 2017. So not impacting 2017 CapEx that much. Only this year, we have the (46:48) which are the new developments that we expect coming into place.
Hans Jakob Hegge - Executive Vice President and CFO: So Teodor, we will have to come back and be more specific on CapEx for 2016 at a later stage.
Teodor Sveen Nilsen - Swedbank AB (Norway): Okay. But just a follow-up on the CapEx, assuming that oil price stays at the current level, is it fair to assume that the higher portion of overall CapEx will be invested in Norway compared to internationally than we will see this year?
Svein Skeie - SVP Performance Management, Portfolio and Risk: Too early to say. One of the dilemmas is, for instance U.S. onshore, where we have a frac crew in Bakken and Eagle Ford, so we don't run CapEx by this book, we take a long-term and this is some of the things that we discussed on a more continuous basis based on the market assessment in the various segments.
Teodor Sveen Nilsen - Swedbank AB (Norway): Okay, understand. Thank you.
Operator: Thank you. We will take our next question from Rob West from Redburn. Please go ahead.
Rob West - Redburn (Europe) Ltd.: Hi there. Thanks for taking my questions, I've got two please. The first one is on the recent wage agreement that I think was announced with Norwegian workers over the course of the quarter and maybe that's still even ongoing in some places. But the way that that's been agreed, can you talk about do you still have the scope to improve the productivity of the way these workers and labors and drive down costs on the Norwegian Continental shelf from that? And then secondly, this is a bit of a niche question about the cash flow. I was wondering could you comment about some of the specific one-offs that we can't see impacting the numbers in the quarter, particularly around derivatives? There were only payments against derivatives in the quarter, just – so I'm trying to back out of the cash flow statement that you reported, there might have been a bit of a payment into that category? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Rob. First on the wage agreement, first of all, we think it's good that we reach an agreement. We work closely with the workers and the unions on improving our business. This is one of the explanations why we have succeeded reducing the costs 11% down on DPN on per barrel on OpEx SG&A. It's been a very positive trend over several quarters when you count to reducing the costs and we engage in a close dialogue with the workers on, not only reducing their external services doing more of the work ourselves, but also reducing the over time spend. One of the reasons we have succeeded is because we have seen that we could plan better, do more to work ourselves, and be aligned on the practical execution of the work. So then it's good also that we have a wage agreement. On the cash flow Ørjan, a bit more color, specifically on the derivatives and MMP?
Rob West - Redburn (Europe) Ltd.: Yes.
Ørjan Kvelvane - Senior Vice President, Accounting and Financial Compliance: So there are derivatives effects both from commodity derivatives and auto financial derivatives. It's kind of negative on the commodity side and positive on the financial side, so I would say that on the cash flow, on the specific elements, I would highlight maybe the collateral inflow, so close to $1 billion in cash inflow and then of course seeking the financing activities, I think that is the main part that I would highlight
Peter W. Hutton - Senior Vice President-Investor Relations: Let's go for the next.
Operator: Yes. We'll now take our next question from Biraj Borkhataria from RBC. Please go ahead. Your line is open.
Biraj Borkhataria - RBC Europe Ltd. (Broker): Hi. Thanks for taking my questions. I had a couple. Firstly, on exploration you're 10% down on the budget. I was wondering if you talk about the level of activity there, what is the number of wells you are going to drill now versus the number you plan to drill at the start of this year? That will be my first question. And the second question is on the U.S. onshore, could you just remind us what the CapEx that was spent in this business in the second quarter, and what the full year budget is for CapEx there? Thanks.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Biraj. First on exploration and the number of wells, let me just take you through a quick update. We drilled eight wells in the second quarter we have 15 year to-date, I mentioned 19-month drilling program East Coast Canada that confirmed the volume of 300 million barrels to 600 million barrels range and we have maturing further prospects there, two discoveries. We also had successful access, awarded five licenses in the 23rd round for us operator and the first well will be drilled in 2017. In terms of spending guidance as you said we reduced it by 10%, see continued deficiencies, we also see that there will be a bit more activity going forward, more seismic in the second half around 20 wells for the full year. So that's the main point on the exploration. CapEx U.S. onshore was very low in the first quarter due to hardly any fracking. One rig in each play, and expect to see a bit higher spend in the second quarter still at an activity level reflecting the current prices which we cautiously call value over volume, so strict prioritization main focus on costs.
Biraj Borkhataria - RBC Europe Ltd. (Broker): And could you just remind us what the full year CapEx budget is for the U.S. onshore business?
Hans Jakob Hegge - Executive Vice President and CFO: We do not go into that level of detail unfortunately.
Biraj Borkhataria - RBC Europe Ltd. (Broker): Okay. Thank you.
Operator: Thank you. We will now take our next question from Jon Rigby from UBS. Please go ahead.
Jon Rigby - UBS Ltd. (Broker): Yeah. Hi. Thanks for taking the question. Just a quick one clarification on Canada. I think when you originally announced the Bay du Nord discovery you said 300 million barrels, 600 million barrels I mean that was after Mizzen and Harpoon and I think you've made two further discoveries. So, I am just trying to square that with what you are saying about 300 million barrels to 600 million barrels that you have confirmed, is that – well anyway can you sort of explain how that arithmetic works please?
Hans Jakob Hegge - Executive Vice President and CFO: Yeah, the discoveries, Jon, is Bay de Verde and Baccalieu.
Jon Rigby - UBS Ltd. (Broker): Yeah.
Hans Jakob Hegge - Executive Vice President and CFO: So they – overall I could say that I'm a bit disappointed that they didn't prove even more volumes. Having said that, from the campaign, but due to the new discoveries we're still at the 300 million barrels to 600 million barrels. So, it's more confirming the range that we said prior to these discoveries. So, we are working on further exploration potential in the area and maturing further prospects. And we are also looking at the lean development solutions on the Bay du Nord. So, the timeline and the concept solutions are being reworked.
Jon Rigby - UBS Ltd. (Broker): Right. But that range is enough critical mass to support the development, just to confirm.
Hans Jakob Hegge - Executive Vice President and CFO: We will...
Jon Rigby - UBS Ltd. (Broker): Is that your current thinking?
Hans Jakob Hegge - Executive Vice President and CFO: In terms of our potential FID decision, that will be based on not only the volumes and the confirmation of those, but also the lean development solutions and the cost attractiveness of that. So it's a bit early to conclude.
Jon Rigby - UBS Ltd. (Broker): Okay. Thank you.
Operator: Thank you. We will now take our next question from Anders Holte from Danske Bank. Please go ahead. Your line is open.
Anders Torgrim Holte - Danske Bank A/S (Sweden): Good afternoon gentlemen, and thank you for taking my quick questions. So the first one relates to the cash flow for the quarter before taxes and working capital, as earlier mentioned. I mean I think we are all pleasantly surprised by the Q1 results at $3.4 billion, and now we are down to $3 billion despite the hiking prices that's been throughout the quarter. So question then: is this the level that we should expect if prices remain unchanged for the remainder of the year? And second question is related to your spoken positive view on gas prices in Mainland Europe and how much of that is tied up to an expecting higher pricing of carbon, which I guess is a prerequisite for starting to retire the brown coal power plants in Europe? Thank you.
Hans Jakob Hegge - Executive Vice President and CFO: Okay. Let me do the first question and then Svein takes the second one. So the result reflects the current commodity prices, no doubt, but cash is very much in line with what we said at the CMU. We have the maintenance seasons and the costs associated with that. That will be higher in the third quarter. Remember, we have the underlying production growth, and we see the costs coming down. And we are making our portfolio even more robust with lower breakeven levels. And also going forward, the market effects will increase as we reduce the service costs in 2017 and 2018. At the CMU, we show the graph indicating around US$10 billion in annual average cash flow at $40 for 2016, 2017, and the cash flow from operations in the first half of 2016 has been US$4.1 billion at slightly below $40, which is lower than the run rate suggests. But keep in mind that the cash tax payments in the first half is based on the results from 2015 and does not reflect the $40 per barrel we saw in the first half, so cash tax was almost $700 million higher in first half than on adjusted earnings. Also at flat prices, the cash flow from operations should be higher in 2017 than 2016 as we will have higher production next year. Svein, the second question goes to you.
Svein Skeie - SVP Performance Management, Portfolio and Risk: Yes, thank you. Regarding then the gas outlook as we do have – Jakob explained a bit earlier. On the outlook going forward, in the shorter term, there are gas plant coming into Europe, but still if you look at the indigenous production, the Groningen field is going down. Going forward also then based on the Paris discussions that we had that there are expectations for Europe to do something with the carbon emissions. And in such a context, pricing on carbon in one way or another will probably be an efficient measure to do it. So what we expect is that going also forward, based on the agreement that we had in Paris, we should expect that there will be more pressure, then, to take out coal with high CO2 emissions. And then gas is very then well placed to replace it. And since we have the pipeline in place, we have the field in place, we have very competitive gas that could supply Europe with new gas also going forward.
Anders Torgrim Holte - Danske Bank A/S (Sweden): Thank you. That's it for me.
Operator: Thank you. Our next question comes from Josh Stone from Barclays. Please go ahead.
Joshua E. Stone - Barclays Capital Securities Ltd.: Hi. Good afternoon. I've got two quick questions, please. Firstly, on efficiency, are you able to say what's been achieved already versus the $2.5 billion efficiency target from February? And secondly on gas deferrals, are you able to say what the production impact was during the second quarter? Thanks.
Hans Jakob Hegge - Executive Vice President and CFO: Thank you, Josh. On the efficiencies, it's very encouraging to not only state that we started early prior to the drop in the oil price, but also that we've been able to increase and double the efficiency gains over the time. So we are not changing the guiding on the $2.5 billion. It's still valid, and we are running according to plan. Several encouraging areas to pick on the specifics. I have mentioned already the drilling and well. We see that on the U.S. onshore operations: even if the activity has been taken down, the efficiency is increasing. The service costs has also been partly covered in this call, but relatively limited effects is still valid the 300 million barrels to 400 million barrels in 2016, but going forward I think it's definitely a higher potential when it comes to the service costs and the effect of that as new projects are being sanctioned. And last but not least, on the OpEx side, we see the MMO contracts on the modifications and maintenance on the Norwegian shelf that was implemented in April. The implementation period will go on to the end of October this year. And in the transition period, you could also actually see a bit higher costs short-term when you change from one company to the other. But my experience from the operations is that when the wheel starts turning with the new players in there, you would definitely see more efficiencies. So the $2.5 billion is still valid. Remember that one we reduced activity the basis for doing the improvements is also decreasing. So, it's not purely about the activity level, it's also about the basis you're improving from. On the gas deferrals, Svein?
Svein Skeie - SVP Performance Management, Portfolio and Risk: Yes. In this quarter compared with the last year there was a slight reduction that we did on the Oseberg field, but not a major thing. We are following the new market very closely, how it develops and looking at the structure in the market. And then since we have the flexibility, we also have the flexibility if the market opportunity is there to defer gases if that makes value, because we are focusing on the value side of it, not the volume side of it.
Joshua E. Stone - Barclays Capital Securities Ltd.: All right. Thanks very much.
Operator: Thank you. We will now take our next question from Hamish Clegg from Bank of America. Please go ahead.
Hamish Clegg - Bank of America Merrill Lynch: Hi good afternoon, thanks guys. Just first of all revisiting the cash flow comments you made earlier, and at Capital Markets Day slide, very usefully kind of outlined CFO versus CapEx of the different prices. As you said, that sort of a cash tax element was slightly, let's call it, backend loaded. Could you maybe tell us if you feel entirely comfortable with that sort of approximate $10 billion of CFO in the sort of for the full year? And with that in mind, what's the impact of the swap out of Edvard Grieg in the second half and how will that impact that number or will it not? And then my second question very simply U.S. gas prices obviously made a bit of recovery towards the end of the quarter, and although sort of I know they were down slightly in the quarter. Can you tell us if you think you would be capturing these high gas prices going forward, because my sort of back-calculated gas realization suggested that you were probably making a slightly lower U.S. gas realizations are not expected, is there some hedging involved in that?
Hans Jakob Hegge - Executive Vice President and CFO: Okay, thank you, Hamish. First on the cash flow on CMU, yes, we are comfortable with the $10 billion in cash flow from operations at $40 per barrel. This is for 2016 and 2017, not only 2016. So it will be higher next year due to taxes and production growth. And on the impact from Edvard Grieg, yes this will have an impact along with other portfolio adjustments we have done. So that's the short answer to your second question. But as you know, we don't generally update the guidance of the individual transactions.
Hamish Clegg - Bank of America Merrill Lynch: Okay. So we'll wait for next year's Capital Markets Day for a change on that or will you be giving us some guidance on Edvard Grieg, how we should account for that in our modeling?
Hans Jakob Hegge - Executive Vice President and CFO: Well you know the direction.
Hamish Clegg - Bank of America Merrill Lynch: Yeah, we do. Thanks.
Operator: Thank you. We'll now take our final question from Nitin Sharma from JPMorgan. Please go ahead.
Nitin Sharma - JPMorgan Securities Plc: Thanks. Afternoon everyone. Just a quick one. Hans Jakob, when you think of the three key objectives organically covering your dividend investing for future growth, improving reserve life and finally getting, how do you think about balancing those three objectives in terms of the decisions that you take this year and next please?
Hans Jakob Hegge - Executive Vice President and CFO: Thank you for that question. I think it's fair to say that we take a long-term perspective on our business and balancing this. On the dividends, we have said it's important. We confirmed that today by maintaining at the same level, continuing to pay dividend, continuing with the scrip offering the 5% discount. We focus on the fundamental improvements, we think it's very important to address the cost and efficiency issue that has been as seen not only this year, both over a period of several years. So we continue to invest in high quality projects ensuring that these are as good as they can at the point of the FID, mainly two elements in the decision, can we improve further on the concept on the economics and if not we should sanction it, if it's a robust project going forward. Also what do we think about the timing in the market with the capacity and the supplier industry and the rates offered so. And we do this within a strong financial framework. We have a stable outlook on the credit rating. We are comfortable with the current gearing level and we have US$16 billion in cash.
Nitin Sharma - JPMorgan Securities Plc: At what level of gearing – if I may ask as a follow-up, what level of gearing does that strong credit rating come under question mark? Or is there a gearing level at all?
Hans Jakob Hegge - Executive Vice President and CFO: The ambition level on gearing is to stay over time between the 15% and 30%. But when we cross the line as we did in this quarter it is in line with the guiding we did at the CMU and we said this is expected at the current prices. We have a more optimistic view on the market long-term, so we think we will have a recovery of the prices. We see some signs that we are moving towards a more balanced market, maybe 2017, and then we will eat of these high storages and we will probably see a more normalized situation where geopolitics and things like that would affect the prices and have a positive response on that. So, the long-term perspective with value over volume and then quite stable outlook is important to us, when we make these decisions.
Nitin Sharma - JPMorgan Securities Plc: Thank you.
Peter W. Hutton - Senior Vice President-Investor Relations: Thanks everybody. That's the end of the questions and for the presentation. Thanks for joining us today. As ever, if there's any follow-up questions, please don't hesitate to call the Investor Relations team. And with that, I'll wish you the best and will be calling again in the future. Thank you. Bye-bye.